Operator: Ladies and gentlemen, welcome to the Straumann Group Full Year 2025 Results Conference Call and Live Webcast. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it is my pleasure to hand over to Guillaume Daniellot, CEO. Please go ahead, sir.
Guillaume Daniellot: Thank you, and good morning or afternoon to all of you. Thank you for attending this conference call on the Straumann Group's Full Year 2025 results. Please take note of the disclaimer in our media release and on Slide 2. During this conference call, we are going to refer to the presentation slides that were published on our website this morning. As usual, the discussion will include some forward-looking statements. As shown on Slide 3, I will start with the 2025 performance overview. Isabelle will then cover the financial details. And afterwards, I will share strategic updates and our outlook. We will be happy to answer your questions at the end of the presentation. And let's move directly to Slide 5. Thanks to a strong full year performance, I would like to start by highlighting that we have created more than 7.3 million smiles in 2025. In other words, together with dental professionals, we've supported around 10% more people improving their oral health and confidence than in the previous year to keep delivering on our purpose, unlocking the potential of people's lives. Now let me share how we have progressed in 2025 by moving to Slide 6. 2025 has been a very dynamic year, and I'm very pleased with the results we delivered. We achieved a strong growth with revenue reaching CHF 2.6 billion, representing an organic growth of 8.9%, supported by a very strong fourth quarter despite the uncertainties around the VBP in China. On a reported basis, growth in Swiss francs was 4.1%, which represents a translation impact of around CHF 100 million of revenue. Despite these currency and tariff headwinds, we intensified our focus on efficiency, generating gains that supported our improved profitability. Our core EBIT margin, excluding currency headwinds, increased year-on-year to 26.5%, which corresponds to 25.2%, including currency effects. These results clearly demonstrate the resilience of our business model and the disciplined execution across the group. On the innovation side, 2025 was a year of record launches. Starting with the Premium Implants segment, innovation remains the primary growth driver. It is the foundation on how we outperform the market and gain share. In 2025, these strategies translated in a record year of new product launches, reflecting both the depth and speed also of our innovation pipeline, iEXCEL is an excellent example. We have already sold more than 1 million iEXCEL implants, making it the most successful implant launch in our history. This performance demonstrates not only strong market adoption, but also the relevance of our innovation for clinicians worldwide. In parallel, we have seen a strong momentum of our SIRIOS X3 intraoral scanner since its launch in October 2025, significantly expanding the clinician base being connected to our Straumann Group digital ecosystem. On the transformation side, the partial transition of the ClearCorrect manufacturing to Smartee is well on track, boosting our value proposition and supporting scalable and profitable growth in orthodontics. Overall, those very promising progress gives us confidence as we enter 2026. Looking ahead, we expect another successful year with continued market share gains and high single-digit organic revenue growth, along with further profitability expansion of 30 to 60 basis points in the core EBIT margin at constant 2025 currency rates. Now let's have a look at the regional performance on Slide 7. Thanks to our large geographical presence, we delivered strong growth across the year and in the fourth quarter, especially looking at the strong comparison basis of 2024. Let's start with EMEA, both our largest region and biggest growth contributor for the group. EMEA performed particularly strong in the fourth quarter, leading to a full year organic growth of above 11%. This was achieved across premium and challenger implantology, digital solutions and orthodontics, which supported our continued market share gains across all markets. In North America, performance improved through the year, reaching a strong organic growth of 6.8% in the fourth quarter. This sequential acceleration is particularly significant as North America remains a strategic market for the Straumann Group. This progress reflects the impact of a strengthened leadership team, sharper execution and the contribution of recent product innovations, all of which are driving more consistent performance and stronger market traction. Growth in the fourth quarter was supported by implantology, digital solutions alongside continued momentum in the DSO segment, underscoring improved operational focus and disciplined execution. Moving to Asia Pacific. The region delivered solid underlying organic growth of around 7% for the full year, driven by strong momentum outside China, where we achieved a growth of more than 10%. Countries such as India, Japan and Southeast Asia continued to perform well, supported by challenger brands, digital workflow adoption and strengthened education activities. In China, performance during the second half of the year was significantly impacted by a softer patient flow and distributor destocking behavior, particularly linked to the upcoming VBP process. Despite the seasonal VBP impact, we believe that the underlying fundamentals of China remain intact. With the ongoing ramp-up of our Shanghai manufacturing campus, we are strengthening local production capabilities and supply chain resilience, positioning us very well for the next VBP ramp. Latin America once again delivered very strong performances with a high double-digit organic revenue growth of around 18% for the year, driven by Neodent, continued market expansion of our Straumann premium brand and fast adoption of our new digital equipment SIRIOS. Growth was strong both in the full year and in the fourth quarter and the region contributing 17% of the group's total organic growth. With this, I will now hand over to Isabelle, who will take you through the financials in more detail.
Isabelle Adelt: Thank you, Guillaume, and good morning also from my side. It is a great pleasure to walk you through our financial highlights of 2025. Let me start on Slide 9 with how we translated our strong growth in 2025 into solid cash generation. We delivered revenues of CHF 2.6 billion, which translated into a core gross profit margin of 70.1%. This is a strong result in a year marked by elevated investments and external headwinds and driven by our productivity improvements and the favorable product mix. The strong gross profit flowed through to profitability. As Guillaume mentioned, we achieved a core EBIT margin of 25.2%, including currency effects or 26.5% at constant 2024 exchange rates. This was driven by disciplined execution, targeted OpEx measures and operating leverage and demonstrates our ability to protect and improve margins despite FX headwinds and tariff-related pressure. At the bottom line, our core net results reached CHF 478 million, corresponding to a net margin of 18.3%, supported by the quality of earnings and effective cost management across the entire group. Importantly, the strong operating performance translated into cash. We generated a free cash flow of CHF 290 million, representing 11.1% of net revenue and influenced by tactical working capital management decisions as well as one of the highest investment years in our history. This also marks the ending of a large manufacturing investment cycle for future growth. Overall, this clearly shows that we not only delivered strong growth in 2025, but also successfully converted this growth into profitability and cash generation, fully in line with our guidance. With this overview, let us now look at the individual line items in more detail, starting with gross profit on Slide 10. Compared to the prior year, the margin was only slightly lower with 70.1%. This development was mainly driven by 2 factors: Firstly, the impact from U.S. tariffs; and secondly, the ramp-up of production at our Shanghai campus, which weighed on margins during the year. These effects were partly offset by our strong product mix and productivity improvements across the group. Overall, the gross margin development reflects the strength of our portfolio mix and our ability to further automate our production while maintaining a high and resilient margin profile. With this, let me now turn to Slide 11 and discuss EBIT in more detail. Foreign exchange effects had a visible impact on our profitability. While revenue growth differed by around 480 basis points between local currencies and Swiss francs, only around 130 basis points of FX impact flowed through to the EBIT line. This reflects the effectiveness of our local-for-local production strategy and the structural improvements we have implemented across our supply chain, which significantly reduced the sensitivity of margins to currency movements. In addition, cost saving and efficiency measures contributed around 120 basis points to the EBIT margin improvement. These measures were implemented across the organization and focused on operating discipline, prioritization and productivity while continuing to invest in our strategic priorities. Overall, EBIT development shows that we were able to translate strong growth into improved profitability, even in an environment characterized by currency volatility, tariffs and cost pressure. Looking ahead, it is important to note that the ClearCorrect Smartee partnership was only announced in October and, therefore, has not yet had a meaningful impact on EBIT margin in 2025. As part of the production transition during 2026, we expect to see positive effects on margin, especially in the second half of this year. Against this backdrop, let me now take you to the net results on Slide 12. The financial result was slightly lower compared to the prior year. This was mainly driven by the effects of currency hedging, reflecting the volatility in foreign exchange markets. Taxes were somewhat higher as a larger share of profits was generated outside of Switzerland, which is also a consequence of our local-for-local production strategy. As in previous years, we present core results in addition to IFRS results to facilitate a like-for-like comparison. In 2025, noncore items amounted to around CHF 120 million after tax. A significant part of these noncore items related to restructuring measures, which are directly linked to strategic decisions we have taken to strengthen our operational setup. We transferred implant volumes for the Chinese market from Switzerland to our new manufacturing campus in Shanghai. And furthermore, restructuring costs were incurred in connection with the transformation of the orthodontic business. In addition, noncore items include acquisition-related amortization and special items, legal costs as well as impairments related to the planned relocation of the group's headquarters to our new campus in [indiscernible]. From here, I will move on to the cash flow and investments on Slide 13. In 2025, we generated a free cash flow of CHF 290 million. This is particularly noteworthy given the very high level of investments during the year. Capital expenditure amounted to CHF 223 million, an increase of CHF 56 million compared to the previous year, making 2025 one of the strongest investment years in the group's history. These investments were focused on clearly defined strategic priorities. They include the expansion of production capacity, most notably the ramp-up of our Shanghai manufacturing campus, Medentika and the new third production site in Curitiba as well as continued investments in innovation, digital infrastructure and operational efficiency. Despite this elevated CapEx level, cash conversion remains solid. This reflects strong operating performance and working capital management across the group. Overall, this combination of high investments and strong free cash flow demonstrates our ability to invest for future growth while maintaining financial flexibility and balance sheet strength. With this, I will now move to Slide 14 and the proposed dividend. Based on our strong performance and solid cash generation, the Board of Directors proposes a dividend of CHF 1 per share, which is subject to approval at this year's Annual General Meeting. This represents an increase of 5% compared to the prior year and corresponds to a core payout ratio of around 33%. This is in line with our capital allocation priorities to maintain and increase dividends with earnings. With this, let me now briefly touch on our efforts and progress in sustainability on Slide 15. Before I turn to the details, let me briefly highlight that the annual report published today includes our sustainability report prepared in line with CSRD requirements for the first time. This reflects our commitment to transparency and regulatory alignment. In 2025, we continue to make progress across our key sustainability priorities, closely linked to our strategy and operations. As part of our long-term growth strategy, education remains a central pillar for the group. During the year, we trained more than 370,000 dental professionals worldwide with around 42% of all education activities taking place in low- and middle-income countries. This shows our continued efforts to broaden access to care and enables the adoption of modern efficient treatment approaches across regions. On climate, we continue to move towards our net zero ambition. We further reduced our Scope 1 and 2 CO2 emissions by around 17% compared to 2021 and 98.5% of our electricity consumption now comes from renewable sources. This reflects the fact that renewable electricity is increasingly embedded as an operational standard rather than an aspiration. In addition, our local-for-local manufacturing strategy contributes not only to resilience and efficiency, but also to sustainability by reducing transportation needs and strengthening regional supply chains. Overall, sustainability at Straumann Group is closely integrated into how we operate the business and supports long-term value creation for patients, customers and society. With this, I will now hand back to Guillaume for the strategy update and outlook.
Guillaume Daniellot: Thank you, Isabelle. Let me now focus on our strategy update, starting with highlighting the massive market opportunity we are facing on Slide 17. First, within our total addressable market of more than CHF 20 billion, we have gained market share across key segments, increasing our total share from 12.5% to 14% within the last 12 months. While we have once again outperformed, this total addressable market still offers us a very significant opportunity to grow in the short and midterm future. Our growth playbook has 2 major dimensions. First, we want to continue to strongly perform in our core market segments, Implants and Regenerative through innovation, digitalization and education. Secondly, we are focusing on transforming our business in key market segments to capture the huge growth opportunities. Then let me start on the left-hand side with the performed dimension. In implantology, our core segments, we are continuing to strengthen our leading position. The market size is around CHF 6.1 billion, and our market share increased to above 35%. This reflects consistent outperformance of the market driven by innovation, digital workflows and strong execution in a still underpenetrated market segment. Regenerative is closely linked to implant surgery with a market size of around CHF 1.3 billion and a market share of around 13%. This is another area where we continue to expand our positions, supported by our strong clinical heritage and portfolio breadth. These segments represent our core strength. This is where we have strong brands, deep clinical relationships and a proven innovation pipeline. Now on the right-hand side, the focus is on transformation. In clear aligners, the market is sizable at around CHF 4.9 billion, but our market share remains below 5%. This clearly highlights the upside potential. With the ongoing large transformation of our orthodontics business, supported by our technology partners such as Smartee, we are very confident in the future of our business repositioning to grow and scale efficiently. Secondly, digital equipment such as SIRIOS scanner and 3D printers represent another attractive segment with a market size of around CHF 1.8 billion. In this area, we have made excellent progress in 2025, achieving strong growth and a market share of above 10% now, and we see further acceleration ahead driven by a very differentiated and competitive equipment and workflows. Finally, CAD/CAM prosthetics is a large market of around CHF 5.7 billion, where our market share is still below 5%. Here, we see an interesting opportunity to accelerate growth by disrupting workflows through chairside solutions. We are very confident that this perform and transform strategic playbook, combining our core strength together with new technologies, which are radically changing our competitiveness in key new segments, will deliver consistent short- and midterm growth opportunity. With this, let me now turn to Slide 18 and walk you through how we execute against this playbook. Our strategy is focused around 3 strategic priorities, each addressing a specific growth engine of the group. First, we aim to expand our leadership in implantology by driving further penetration in an underpenetrated market through innovation, digitalization and education supported by our strong premium and challenger brands. Secondly, we are transforming our orthodontics business, building a stronger value proposition in a more scalable, digitally enabled model that allows us to grow efficiently and profitably together with strong partners. Third, to unlock the market potential of digital equipment and the CAD/CAM prosthetic market, we are working to disrupt chairside prosthetics by simplifying and accelerating workflows, leveraging our SprintRay strategic partnership and our open cloud-based digital ecosystem. What connects these 3 priorities is a common execution logic. Across all of them, innovation definitely supports our value proposition differentiation. Digitalization delivers the expected efficiency and education enables adoption and opening up wider the market segments. Let's now move to Slide 19. Before we go into the details of each pillar, let me highlight the clear principle differentiating our solutions. We are leveraging our cloud-based ecosystem to combine the best products with the best workflows to deliver practice efficiency and superior clinician experience. In today's dental market, product performance alone is no longer sufficient. Clinicians expect not only innovation at the implant or aligner level, but also complete, efficient and integrated workflows that support them from planning to treatment and case follow-up. This combination is what enables us to differentiate and consequently gain market share across segments. With this foundation in mind, let us now go into the first pillar of more detail, starting with implantology on Slide 21. I would like to highlight once again the fact that the implantology market remains yet significantly underpenetrated, offering a vast growth potential. Spain, with its large number of surgically trained dentists and a dynamic DSO presence driving increased affordability, serves as a valuable benchmark for evaluating average implant treatment penetration. Using Spain as a reference, we see significant potential for growth in both developed markets such as Italy, France, Germany, but also especially U.S. as well as in emerging markets like India. We are very confident that market penetration will continue to rise. This development is driven by increasing patient awareness of dental implant treatments and constant growing number of surgically trained dentists who can place implants in all geographies and more affordable treatment costs. With this context, let me now go into the first growth driver, starting with innovation on Slide 22. In implantology, innovation is the key driver to expand penetration and gain market share. In 2025, we launched iEXCEL, our next-generation implant system. Since its launch at IDS in Cologne, we have already sold more than 1 million iEXCEL implants, making this the most successful product launch in our history. IEXCEL combines unique features such as our premium surface SLActive and our Roxolid material with a simplified system architecture. One connection, one prosthetic diameter and one single surgical instrument set enabled to treat a wide range of indications with easier handling. In parallel to excellent clinical outcome, this simplicity is critical. It reduces complexity for clinicians such as inventory management, improves efficiency in daily practice and supports the adoption of more advanced treatments such as immediate loading and full-up solutions. Importantly, iEXCEL is not only driving growth within our existing customer base, it is especially a strong conversion tool, driving new customer acquisition. Premium competitors implant users on the one side, but even more importantly, it is now also a strong tool to switch clinicians using value systems. With this, let me now turn to our leading global challenger brand, Neodent on Slide 23. Neodent continues to be a strong growth engine driven by innovation and geographical expansion. In 2025, we sold around 5 million Grand Morse implants, underlining the strong acceptance of this platform across markets. Grand Morse is a very powerful system. It combines a modern implant design with a broad indication range and is also available in ceramic materials. Neodent is now established as a leading global challenger brand and continues its dynamic expansion into new geographies and growing market share in the Challenger segment. A key milestone ahead will be the registration of Neodent in China, which we expect to be done by 2027, opening up a significant additional growth opportunity. Overall, Neodent plays a critical role in complementing our premium portfolio and driving global expansion in implantology. Let's now turn to Slide 24. Embedded in our innovation process, digitalization is what turns products into a comprehensive and efficient customer experience. With Straumann AXS, we have built a successful open cloud-based platform that connects implantology workflow end-to-end across planning, surgery and restoration. The adoption of Straumann AXS has scaled up very rapidly. Within 18 months, the platform has grown from 0 to more than 15,000 active users, clearly demonstrating strong acceptance and relevance in daily clinical practice. What drives this adoption is the integration of complex workflow. Solutions such as co-diagnostic surgical planning and Smile in a Box are fully embedded into AXS, enabling faster, standardized and predictable implant treatments. Importantly, Straumann AXS also strengthened customer engagement. The platform drives a recurring usage and creates a continuous interactions between clinicians well beyond a single product transaction. Let me show you a concrete example how digitalization amplifies innovation and turns it into a differentiated customer experience on Slide 25. By combining intraoral scanner, the iEXCEL implant and a specifically designed anatomic healing abutment for the digital Straumann AXS platform, we created a fully connected workflow that significantly improves efficiency and accelerates treatment, and the impact is measurable. With the Fast Molar workflow, patient treatment time can be reduced by up to 26 weeks, clinical churn time by around 50 minutes and the number of appointments can be reduced from 5 to 2, enabled by the fully integrated digital nature of the solution. Importantly, it also strengthens the economics. By accelerating treatment and standardizing workflow, we increased the pull-through of original abutments and restorative components, driving higher recurring revenue per case. For clinicians, this means higher productivity and predictable results. For patients, fewer visits and faster restoration. And for Straumann, stronger consumables growth and scalable value creation. Moving up to Slide 26. To drive access to care, education is critical to make our solutions accessible to more clinicians and patients. In 2025, we delivered more than 10,700 education programs worldwide and trained over 370,000 dental professionals covering implantology, digital workflows and advanced indications such as pull out procedures. Education plays a critical role in increasing penetration. It enables more clinicians, particularly general practitioners to adopt implant treatments and to use digital workflow in a predictable and efficient way. With this, let me now move to the second pillar of our playbook for growth, the transformation of our orthodontics business on Slide 28. Through the Smartee and DentalMonitoring strategic partnership announced last quarter, we are transforming our Clear Aligner value proposition and accelerating our growth capabilities. On the product side, it means the launch of a scalloped trimline option in May 2026, together with mandibular repositioning devices later in the year, allowing us to address a broader range of orthodontic indications and more complex treatment needs. Equally important is the transformation of our production setup. As planned, EMEA and Asia Pacific aligner production is now transitioning to Smartee manufacturing, enabling constant quality, faster turnaround time and lower cost of goods. The first customer feedback on quality and service levels has been very positive so far. Together, these innovations and production capabilities are strengthening our ability to compete and our potential to scale and win market share in the Clear Aligner segment looks very promising. Moving to Slide 29. Digitalization is also here a critical enabler to scale orthodontics and broaden access to treatment, particularly for general practitioners, which is the focused growth segment for us. Through ClearCorrect remote care powered by DentalMonitoring, we enable remote treatment monitoring. This reduces the need for in-office visits and supports a simpler and more efficient patient journey while building the confidence of general practitioners to achieve consistent quality clinical outcomes. Digital workflows also support case conversion for general practitioners, which is one of the most important aspects of market growth. Tools such as before and after simulations make treatment outcomes more tangible, helping clinicians explain cases more clearly and increasing patient acceptance. In addition, the integration of CBCT data simplify treatment planning and enables more comprehensive diagnostics, especially for more advanced cases. This further expands the range of orthodontic treatments that can be addressed digitally by general practitioners. Overall, the digital capabilities simplify workflows, improve efficiency and create a faster and more compliant patient journey, supporting clinical success and scalable growth in orthodontics. And to ensure broad adoption of these workflows, education plays also here a critical role, which I would like to comment on Slide 30. Lowering barriers for general practitioners is critical to accelerate adoption and enable scalable case growth. Digital workflows and advanced aligner technologies only create value if clinicians are confident in using them in daily practice. With the ClearCorrect orthodontics, we provide structure and modular education tailored to different experience levels and treatment needs. This allows clinicians to progress step by step and build clinical skills over time. In addition, we complement education with ongoing online and clinical treatment support, ensuring that clinicians are supported beyond the initial training and through to the treatment process. With this, let me now move to the third pillar of our playbook for growth, disrupting chairside prosthetics on Slide 32. Digital equipment is an attractive and growing market in its own right and at the same time, a strategic enabler across our entire portfolio. Across implantology, orthodontics and prosthetic, there is always the same starting point. It all begins with an intraoral scan. Intraoral scanners are the entry point into our digital Straumann AXS platform. They capture the data that connects treatment workflows and platform across all segments. And this is why the intraoral scanner is strategically important for us. With our iOS portfolio, we cover the full market spectrum. We offer premium solution through our partnership with FreeShape, mid-range solutions with our SIRIOS X3 and entry solution with SIRIOS. This breadth allow us to address all customer segments and significantly expand access to digital workflows. This strategy has delivered very strong results in 2025, and we are confident to continue this momentum in 2026. We are seeing strong market share gains in intraoral scanners, allowing us to outgrow the digital equipment market. Each scanner placed increases adoption of Straumann AXS, our open cloud-based platform. And this expands our active user base, strengthen engagement and drives recurring usage across implantology, orthodontics and prosthetic. Let me now show you how this applies to prosthetic on Slide 33. What you see on this slide is a clear example on how we translate digital integration into speed, efficiency and recurring revenue while transforming the chairside prosthetics segment. With the Straumann Signature Midas 3D printer fully integrated into Straumann AXS, we enable automated crown design and production directly at the chairside. Clinicians can produce crowns, inlays or onlays in less than 10 minutes, significantly accelerating treatment and reducing dependency on external lab processes. This workflow is supported by our innovative chairside resin portfolio developed by our partner, SprintRay, delivered in patented capsule format. This format simplifies handling, improved consistency and ensures predictable clinical outcomes. Importantly, this is not only about speed, it fundamentally changes the economics. For clinicians, this means faster turnaround time, higher productivity and more control. For patients, it means especially fewer appointments and same-day restoration. And for Straumann, it means recurring revenue streams embedded in the workflow and the Straumann AXS ecosystem. For us, the integration of scanning, design, production and material into one seamless workflow creates a recurring revenue model driven by ongoing resin and consumable usage linked to every printed case. Finally, moving to Slide 35 to unlock those many opportunities and execute flawlessly on our growth playbook, the player learner culture is a key asset. We operate in a world that is increasingly volatile, uncertain and complex. In this environment, speed, agility and learning capability are decisive. At Straumann, our high-performance player-learner culture brings this all together. It encourages entrepreneurial thinking, accountability and continuous improvement, while at the same time, fostering collaboration and learning across functions and regions. This culture enables us to innovate closer to customers, take faster decisions and execute our strategy consistently across markets. And importantly, this is not an aspiration, it is measurable. Our employee engagement score of 80 reflects the high level of commitment and energy across our organization and represents the top score amongst globally leading companies. This is a major robust competitive advantage and allows us to turn strategy into execution and execution into results. With this, let me now turn to our outlook for 2026 on Slide 37. We entered 2026 with solid momentum, supported by our strong market position in a total addressable market of more than CHF 20 billion. While market conditions are expected to remain volatile with ongoing macroeconomic and regulatory uncertainties, we're expecting positive impact from our new key strategic initiatives, especially in the second half of the year. In China, the impact from the VBP process is expected to support growth momentum as the year progresses. And in orthodontics, the ClearCorrect transition to Smartee is advancing as planned and will contribute positively over the course of the year. With this timing effect, we are very confident in our outlook. For 2026, we expect to deliver high single-digit organic revenue growth alongside a core EBIT margin improvement of 30 to 60 basis points at constant 2025 exchange rates. With this, we are happy to move to the Q&A session to answer your questions. As usual, we kindly ask you to limit the number of your questions to 2 in order to give other participants a chance to post their questions within the available time. Chorus Call, can we have the first question, please?
Operator: The first question comes from Doyle, Graham from UBS.
Graham Doyle: Maybe, Guillaume, just firstly, on sales phasing for the year, I know it's early in the year, it's a bit hard to fully describe it given what's going on in China. But it does look like the way EMEA and the U.S. finished that maybe those regions are a little bit more H1 weighted. So is it reasonable to think that this is a relatively balanced year in terms of group growth for organic? And then secondly, just on free cash flow, should we expect a good step-up from H1 just as some of that inventory unwinds and maybe the restructuring charges fall as well?
Guillaume Daniellot: Yes, Graham, for the top line, we will have obviously some different effect also from a regional basis. But when you look at Asia Pacific, where China is obviously a major impact, for the time being, assumption is that VBP will take place in the second quarter. That's an assumption as there is not yet any official statement by the China authorities, but the latest information that are coming up seems to demonstrate that it will be rescheduled around this time frame. As we have a very strong comparative base in 2025 in the first half and the low in the second half, I would say 2026 is going to be the reverse of 2025. We are going to have obviously still a weaker first half in China and Asia Pacific for the first half and a much stronger one in the second half when we look at the start of the year. When it comes to North America, we expect progress to continue, and we expect in our guidance, let's say, we have tabled a stable macro environment where we believe that our execution is going to continue to produce positive results, then that's the way we are seeing that our growth rate for 2026 will be more weighted on the second half than the first half.
Isabelle Adelt: Let me take your question on cash flow, Graham, a very easy answer to that. Yes. What are the big building blocks when we look at it? It's CapEx, it's net working capital and it's the noncore items we're looking at. So CapEx, as outlined earlier, we said we are coming out of one of the biggest CapEx cycles we've had in the history of the group. By end of this year, we will have doubled our capacity in terms of how many implants we can produce this year. So the last big project to be finished is our third factory in Curitiba during this year, but you can already expect a significantly lower CapEx level for 2026 compared to prior year. Same holds for working capital. As you might recall, we did a couple of tactical decisions to increase our inventories to mitigate for the U.S. tariffs last year, and this is likely to unwind. So we will see structurally a little bit lower working capital in 2026. And last but not least, I think last year, we have seen a lot of effort we put into putting the right structures for our future growth. so namely preparing the orthodontics transition as well as enabling the China campus and making sure volumes can be produced where they are needed. And this is why we expect to see significantly lower noncore items in 2026 as well.
Operator: Next question comes from Hugo Solvet from BNP Paribas.
Hugo Solvet: Just Guillaume, maybe for you on North America and the U.S. in particular. Can you help us understand the balance between volumes and price mix in Q4? And just a word on current trading. Do you continue to see that sequential improvement in the U.S. as we start 2026? And maybe on a follow-up to Graham's question on the phasing, but more on margin this time, maybe for you, Isabelle. Can you quantify how much of margin pressure should we expect in H1? I think historically, you were more 55%-45% H1, H2 EBIT weight and that was more 50-50 in 2025. So would 2025 be a better proxy? Or would it be even more skewed towards H2?
Guillaume Daniellot: Hugo, when it comes to U.S. volume price, it has been mainly volume growth. We had some price impact, but really small. Then I would say 80% to 90% of our development came from volume and share gain. When it comes to what we start to see in Q1, we see the trend still being positive with our iEXCEL still being very appreciated and helping us to gain share. Actually, something which is important, I tried to allude that in the script, not only on premium users, but also on value system users based on the efficiency gains delivered by the digital workflow and the digital equipment. Our DSO development is also positive. We have seen the DSO starting to reinvest on the marketing activities in order to keep then the patient flow at the same level. While it's still not very dynamic, at least we have seen a really good stability over the past month. That's why we believe that at least the beginning of the year should also see North America being able to keep delivering this kind of performance.
Isabelle Adelt: And regarding your question for the margin distribution, Hugo, so I think this follows a little bit the same pattern Guillaume already elaborated on for the sales phasing. Just to help you think about how the margin distribution could look like, for me, there are 3 big building blocks. On the one hand side, of course, it's the China business and the VBP. There's still a little bit of uncertainty regarding the timing. But what Guillaume already explained that last year, we had a super strong first half year in China and a little bit weaker second half of the year, this will look the other way around this year. The second big building block definitely, the ortho transformation. As we speak, we are in the process of transferring production volumes to Smartee for the EMEA and APAC region and winding down our own production line in Germany, which, of course, means the benefit will be bigger in the second half of the year that the first, where we have transition costs and the wind-down costs included. There's still a little bit of double cost. And last but not least, which we shouldn't forget is the phasing of the tariffs. From all we know to date, the amount we expect to see is a little bit the same we had last year. But last year, it was more biased towards the second half of the year since it was only announced in April, and we didn't see a big effect in the first half. And this year, the amount will not differ significantly for the full year, but will be a little bit more biased towards the first half year since we will have a more continuous flow of tariffs from what we know today.
Operator: The next question comes from David Adlington from JPMorgan. Mr. Adlington removed his question. Let's take the next one from Susannah Ludwig from Bernstein.
Susannah Ludwig: I have two, please. I guess, first, could you just give a bit more color in terms of the strength of the EMEA performance in Q4 and maybe what you're seeing in Q1 so far? How sustainable are you thinking about sort of the acceleration in performance there? And then second, on prosthetics, that's a business that historically, the dental labs have controlled and dental offices have very strong relationships with their labs. So what do you see as the catalyst for sort of the disruption of that relationship? Dentists often tend to be a creature that have a bit of inertia. What do you see as sort of driving the shift to chairside? And what role will the DSOs play here?
Guillaume Daniellot: Yes, Susannah. Then on those two questions. EMEA is obviously a very, very solid trend. We had an exceptional Q4 first, because I think we have very underlying capability to continue gaining share, and we are leveraging all the innovation that we have at our fingertips. And I think the EMEA team is doing very well on all the different franchises, and this has to be highlighted. I think in premium, in challenger, also digital and orthodontics is really driving then the very solid performance. Now -- the fourth quarter has been also boosted by some January '26 price increase announcement that has been done, and we know that there have been some also high digital equipment orders that have boosted performance. And I would say we have always said that the EMEA regular high performance is going to be between high single digit to low double digit. And I think this is what we expect to see also in 2026. And it will be balanced between the different quarters, saying that potentially the first quarter will be a little bit lower based on the strong finish. But all in all, it's going to be just a balance in all the different quarters that will still see us delivering strong contribution of EMEA with regard to our total 2026. When it comes to prosthetics, you have a very good point that the lab relationship with the dental practitioner is very strong. And why do we believe that such chairside 3D printed crown can have some disruption capabilities in the future for one very good reason, we believe, is patient expectation. If you can say to a patient that you are going to solve his decay or his crown issue in one appointment, there will be a lot of benefits on the patient side and obviously, a lot also on the clinician side because it will save significant number of appointments. Will it be a fast disruption? No, because we all know that dentistry is rather conservative. But as soon as practitioner will have experienced this same-day dentistry being able to gain significant efficiency in posterior crown restoration like this, we do believe that the share of the business will not go to the lab anymore. Obviously, DSO will be able to push those workflow because of the efficiency and profitability gain that they can generate. But it will be all across the market based on the significant appointment savings that could be generated. Then to be seen step by step, but I think all the elements are here now to be able to allow the same-day dentistry that will, I personally think, going to take significant share in the future.
Operator: The next question comes from David Adlington from JPMorgan.
David Adlington: Yes, just -- I may have missed it, sorry if you addressed it. But just in terms of your margin guidance, just wondering if I could check what you're assuming in terms of savings from Smartee or whether you're looking to reinvest those? And then secondly, again, I think you may have touched this and I just missed it, but in terms of the tariff impact in the second half, I just wondered if you could quantify that and how you see that evolving through 2026?
Isabelle Adelt: Sure to take that. So I think -- I mean, margin guidance for Smartee. So David, I think what we explained a little bit before, we have a very clear plan how we want to turn the orthodontics business profitable over the next 2 years. And I think the first big step will be this year really working on our COGS position, working on our profitability position by transferring the big production volumes we have in EMEA and in APAC to Smartee. But how will this look like? So on the one hand side, we're currently closing down our own production site in Germany to be finished by end of Q1. So you will potentially still have the COGS in Q1, but then at the same time, transfer to Smartee at a much lower cost per liner than we had before internally. And this will ramp up over Q2, so we can see the full effect in Q3 and in Q4. And then I think in addition to that, obviously, we expect to see a little bit higher growth rates for the ortho business as well, being a positive impact to the margin in the second half because we are planning, as Guillaume said, to launch the scalloped shape trimline during Q2, which will substantially complement our portfolio. And this is why we will, for sure, already see a step-up in terms of margin in the first half, but the bigger impact we would see in the second half of the year once the cost for our own production is out and Smartee is fully ramped up for those 2 regions. And then for tariffs, I think to give you an indication, we expect the total amount from all we know today, so assuming tariffs will stay where they are to be at a similar level as 2025, where we saw a total hit of around about CHF 20 million in our P&L in the COGS line. We expect that number to be pretty similar, maybe a little bit higher in 2026. But saying this, it was very biased towards the second half of the year in 2025, especially in July when we did all the shipments, but then in the second half of the year when we had the high tariffs, whereas in this year, you can rather think about it as distributed half and half, so half in the first half of the year, half in the second half of the year.
Operator: Next question comes from Hassan Al-Wakeel from Barclays.
Hassan Al-Wakeel: I have two, please. So [indiscernible] up on the margin guidance and why this isn't higher given your commentary on Smartee halving the loss, [indiscernible] loss in '26? And is the guidance is that of the uncertainty that you still see in China? Or is there anything else to highlight in terms of the margin building blocks? And then secondly, on China, is the second half realistic? And what do you have in your guidance from the potential continuation of destocking beyond this quarter and the [indiscernible] can also ask what the margin headwind that you're baking China VBP in 2026?
Guillaume Daniellot: We are going to try to answer, but you have been breaking up on your questions. And let me try to summarize your questions and try to answer that, and you will let us know if this is in line. First question is, what are the different building blocks we are seeing on our margin. I think as Isabelle explained and what we discussed already quite a lot is, on the one side, we have that negative impact of tariffs. That will be almost the same, a little bit more than potentially 2025, but that will be then having an effect more in the first year -- in the first half than the second half because of the fact that it has been, in 2025, impacting our second half mainly. The second side that we said is about Smartee, where as our manufacturing now is for Asia Pacific and EMEA translating to Smartee, we will see the effect over the year starting from March because we are going to finally close our German plant, as just Isabelle said, there in the end of the first quarter. and something also to express on Smartee, there are 2 effects for our margin. The first one is the immediate COGS effect that will be obviously direct. And the second one will be the operational leverage that will come over the next 18 months, where we really are expecting significant growth that will help us to drive then significantly improvement in profitability as well with regard to all our SG&A costs that are going to be absorbed in a much higher way with the double-digit growth that we're expecting and that we are seeing at this point. But we are having also additional elements in our building blocks that we are counting and that are going to have positive effect on our profitability. The first one is obviously the manufacturing of the Shanghai campus, where we are allowing to have all our China volume being manufactured at a lower COGS that have been obviously planned in our guidance. We have also another one, which is in part looking at the growth of our digital equipment, where we are transitioning some significant part of our volume from third-party products to our own SIRIOS intraoral scanners, meaning that we can also benefit from a higher profitability. And last but not least, we are continuing to do operational leverage in the overall organization, thanks to the growth that we are delivering. Then that's where our improvement from a profitability standpoint is coming from many parts that are allowing us to be pretty confident about delivering then the improvement that we have been presenting. To the second side, I think if I understood well, you were talking about or you were asking about what is baked in our guidance somewhat with the current VBP being in Q2 and the destocking -- potentially further destocking of distributor. What we believe is that the destocking of the distributor is going to be less important than the second half of 2025 because they are -- it seems from our information in between 1.5 to 1.8 months of stock right now than at a pretty minimum level to operate. Then while it's going to be still slow from a patient standpoint, we don't believe that the destocking will be massive anymore. Now obviously, we are going to be still against a very strong comparison base. What you have to remember is our first half in China has been in the 20-plus percent growth. And we are going obviously to see much more than the weak market than what we have seen in the first half. Then it's much more this challenging comparison base that are going to provide, I would say, China still in the negative territories from our perspective that will strongly be reversed for the second half. Then we have baked more or less this dynamic in our guidance for our high single-digit growth for 2026.
Operator: The next question comes from Daniel Jelovcan from ZKB.
Daniel Jelovcan: The first one is also on Clear Aligners. Can you elaborate a bit on the geographical growth? It was probably double digit in all areas, but I'm not sure, that's why I'm asking. First question.
Guillaume Daniellot: Yes. Daniel, Clear Aligner has been very dynamic, and we had double digit in 2025 again. Significantly in Latin America and EMEA, rather flattish in the North America, which we expect this to change with a better consumer sentiment. And we have been, since the partnership with Smartee, also seeing some interesting uptick in Asia Pacific and especially in the 2 markets where I think we will be able to drive interesting volume in the future, which are Japan and Australia. And that's why we are pretty confident to get on track with our Clear Aligner also operational leverage in the future, looking at the current growth trend that we're having on this business segment.
Daniel Jelovcan: Okay. Great. And the second -- last question is the development in Spain. As you elaborated, you mentioned a lot in the past, DSO is pushing penetration up because of the low price and so on. I would wonder if you can add a bit more details. So what implants do the Spanish use? I mean, is it Neodent or is it premium or both? I'm talking about the DSOs. And also when you look at your penetration chart, is the DSOs, you see evidence that the DSOs are also pushing growth in other underpenetrated countries. I mean, have in mind the DSOs are not allowed in Germany, for instance, or maybe there is a change coming up. So yes, that's the question.
Guillaume Daniellot: Yes. Spain has been a very good example on how DSO has grown the market through opening up a segment of patients that was not thinking that they could afford implant treatment. And with rather aggressive marketing activities, presenting, of course, implant treatment at a lower level, but especially pushing the patients to go through the door to get presented with the diagnostic, actually, it's a question of spending prioritization. Then if you do an implant, then you might not buy the latest, I don't know, computer or iPhone or whatever. And that's a little bit what we have seen for countries where most of the oral care or dental care are full copayment by the patient, which is the case in Spain. Then this has been one of the significant effect DSOs have had on those patient group that was not going to a dentist anymore, but are suddenly going to DSO because they feel that it's actually more affordable than they were thinking about. Then those DSOs are mainly using challenger brands and our Neodent system, but some are still using premium as well, especially because of the efficiency driven by the digital workflow that are not fully yet available on the challenger brands. We are expecting this to continue developing in other geographies. And one of the good reasons why we have also seen China developing so strongly after VBPs has been because DSOs have been able to invest and scale clinician education and also doing investments in equipment to be able to place more implants. Then DSOs are a very strong partner for us for continuing to open the market and expand the market in most geographies because they are also the ones that are investing in technology that are allowing efficiency and then potentially more affordable pricing, that's what we see the future. And that's one of the reasons also why we are working in co-creation with a lot of DSOs to develop specific solutions that are adapted to the strategy they would like to pursue.
Daniel Jelovcan: That's great. And also congrats for this achievement in '25 in these challenging times.
Operator: The next question comes from Julien Ouaddour from Bank of America.
Julien Ouaddour: I have only one. But I just want to understand the level of maybe [indiscernible] conservatism that you have in the margin guide this year. Just to explain myself. So I mean, usually in a given year, you have some operating leverage that you expect to grow high single digits. You should have some -- I think you mentioned strong growth in EMEA, like North America also probably improving, which should help you on the mix side. In the call, you mentioned digital and Shanghai production to be a tailwind as well. So it seems the swing factors are the savings from ClearCorrect and like the VBP. Have you changed your expectation in terms of the VBP? I think in the past, Isabelle said China is expected to have roughly a flat margin. So is there, I mean, any different assumptions in the guidance? And in terms of savings, do you still expect the losses from ClearCorrect to have in '26, which should clearly give you a nice boost. So just trying to understand really the 30 to 60 bps of margin expansion. It's pretty -- I mean, it's pretty good already, but I wanted to check if there is any level of prudence there.
Guillaume Daniellot: I can start with answering. Again, on the ClearCorrect, as we expressed, it has been a large transformation we started in August. And honestly, we are really pleased on where we are right now. We have made a very strong progress being able to connect manufacturing for 2 major regions with no hiccup, having really strong already feedback from customers from turnaround time, from quality levels and still using, again, all the ClearCorrect specific technology. That means we are using all our ClearCorrect portal. We are using all our specific ClearCorrect material. We are having still a very clear differentiated branding by leveraging the technology of Smartee. From a manufacturing standpoint, we are well on track, being able to -- we have started to transfer this manufacturing, meaning that with operational leverage, the plan that we have for end of 2027 to be breakeven of ClearCorrect should be really achieved. At least for the time being, we are pretty positive about this midterm perspective that we have. Then looking at regions like North America doing better and being able to deliver the stronger growth than the 4% we had in 2025 and backing for higher growth rate for 2026 will also deliver then higher profitability, thanks to the higher pricing that we have there versus the other regions. Solid EMEA will also contribute well that we can generate operational leverage from those geographies. Then I think we already expressed manufacturing in China, the fact that we have our digital equipment that are going to be more in-house than third party and the fact that we are also going to have the latest for us high CapEx year because we have been investing a lot into profitability -- into capacity, sorry, in the past years. I think it is making us, yes, I would say, confident about our capability to deliver higher gross margin and higher EBIT moving forward in 2026, but also having a profile keeping improving over 2027, which is really something that we are looking at from a midterm standpoint.
Operator: The next question comes from Julien Dormois from Jefferies.
Julien Dormois: I have two. The first one relates to the iOS business. I think you have mentioned during your presentation that you have experienced significant share gains, obviously, related to the comprehensiveness of your portfolio. So I was wondering whether you could help us size this market on a global basis and whether your current market share is maybe above or below the 10% you have highlighted for the broader digital equipment market. So just to understand where you sit on that side. And what do you think could be a realistic target for Straumann maybe by the end of the decade or in the next 5 to 10 years? That would be quite interesting. And the second one is very much a housekeeping question, and sorry if I missed that, but it's probably more for Isabelle. But at the current FX rates, I'm just curious whether it is fair to assume more than 500 basis points of adverse impact on top line and maybe a new round of headwinds to margin, probably to the tune of 150 bps if I compare to the 130 bps you had in 2025.
Guillaume Daniellot: Yes, I will. I think -- thanks for the question, Julien. It's not so easy to assess the real full market total value of iOS. But if we look at what we call modern technology that our iOS and 3D printer, that's where we are assessing this market to be a bit shy of CHF 2 billion. And when we see our development, we are seeing, yes, our shares being double digit now. We have been, I would say, more on the 5% to 6%. We think that we have significantly increased this, this year, thanks to this new technology coming from our AlliedStar acquisition that we have made in September 2023. And we believe that this is going to continue to grow as together with our FreeShape partner, we are on the sweet spot to be able to deliver a really advanced technology with FreeShape for surgeons and orthodontists that really want to leverage the latest technology also in terms of diagnostic and having advanced capabilities. But as we are now entering a lot into the GP segment with orthodontics, but also implant treatments and now prosthetics, very often, they like a good technology that does not need to have all the latest one at a more affordable price. And what we have seen in this market penetration, we are now in the middle of the S curve, and we are well positioning to take a fair share of the volume of our intraoral scanner in the next 3 years. And we see that significant growth in the next 3 years. Afterwards, we expect the total market penetration to move from -- it is around 35% to, I would say, 35% globally today. It will double in the next 3 years from my perspective because we are having the sweet spot in terms of quality to price ratio on digital equipment. And this is where we believe strong growth will still be achieved on our side. This being said, I want to express once again the fact that we consider intraoral scanner as an enabler. What we want to do is really connect as many clinicians as possible into our open cloud-based AXS platform, where clinicians have then the efficiency, the access to consumables and solutions that are really creating a difference in their practice. That's where they can go to the Fast Molar workflow from Straumann, they can go to the clear aligner, then ClearCorrect solutions. They can go to the SprintRay. And every new technology that will come will be able to be connected through that AXS platform, meaning that we will be open to any innovation in-house or externally, thanks to that customer base connected with our intraoral scanner and that ecosystem. That's really the strategy that we have been pursuing and that we are very pleased into the progress of it right now. Isabelle, do you want to comment on the...
Isabelle Adelt: The FX impact, yes. Julien, you didn't miss it. I think you're actually the first one to ask it, which I think is a little surprising. But I think -- I mean, FX impact, as you all know, I mean, we're operating in a very volatile environment. And I think you gave a very good range already when you said that. So from what we currently see and looking at -- basically looking at what we say we are doing at January spot rates, we are looking at a very similar impact we had last year once again. But having said this, to give a clear guidance at this point in time is very difficult. Because in January alone, we saw movement of over 50 bps up and down just by the volatility of the U.S. dollar. So I think for the time being, if you look at a very similar impact to what we had last year. So to remind you, in terms of top line, 480 bps; in terms of bottom line, 130 bps for the time being, the estimation is not too wrong. And we will keep you updated as the year evolves given of what the currencies will do throughout the course of the year.
Operator: Next question comes from Richard Felton from Goldman Sachs.
Richard Felton: Just two questions for me, please, both on orthodontics. So the first one, on the product side, like how important are some of the product innovations that you've referenced in your presentation? And for instance, the scalloped trim products, how important is that in filling a gap in your portfolio? And what percentage of cases are you now able to address? And then secondly, also on orthodontics, are there any changes to your commercial organization that you are making? Just trying to get a sense of what is driving the acceleration in liners that you expect over the next couple of years.
Guillaume Daniellot: Yes. Thanks a lot for the question on orthodontics. And yes, I think happy to be able to explain this. When we are commercializing ClearCorrect, we had a significant differentiation, which is a specific high trimline, which is helping to place a little bit more force to the teeth in order to move them a bit faster and to do some different movements. This is something which has been appreciated by some clinicians, but a lot of others are used to scalloped trimline, which is what has been proposed by most of the players in the market. Then when we have been willing to switch some of the GPs that were using a lot of competitor products, they were asking us to have also the scalloped trimline option because they are so used to this that they don't want to change any of their protocols or their experience so far by moving to ClearCorrect. Then it has been a pretty strong obstacle to some of the switches that we were wanting to do because of asking the clinicians to change the way they were treating patients. And obviously, then a lot of the clinicians like to continue doing what they are used to and what they are confident with. And it's a very different way of manufacturing product. We have also to look at how to redefine protocols with a different trimline. And that's why for us, it's also a major addition to our portfolio because we will be able to offer those different trimline capabilities, either the high or low trimline that are existing to ClearCorrect and the additional scalloped auction that will be also a lot of wishes by a lot of general practitioners that we have been meeting over time. The second aspect on the commercialization side and what we have done is we have also to generate operational leverage decided to focus on the key growth market. And what we are doing is making sure that our customer experience, clinician support and commercial go-to-market investments are going to be done in the 14 major countries where we are seeing actually those double-digit growth. And as much as we are seeing growth, we will then continue doing specific go-to-market investments in order to support growth as we are seeing it happening.
Operator: The next question comes from Sibylle Bischofberger from Vontobel.
Sibylle Bischofberger: I have only two questions left. First of all, the gap between the reported EBIT and the core EBIT was quite strong in 2025. Could you give us a hint how will be the delta between your reported and core in 2026? And secondly, CapEx will clearly come down, as you said, only Curitiba 3 will be spent. And then in 2027, it will be even lower. Could you tell us how much it will be in 2026 and what to expect for '27?
Isabelle Adelt: Yes. No, happy to take those two questions. I think this is what we discussed a little bit as influencing factors to our free cash flow performance already, right? So just to remind you, 2025, we had a lot of extraordinary impacts in there. So we provided quite some detail in our annual report what they were. And I think it wouldn't be too wrong to assume that everything regarding restructuring when it comes to the ortho business, when it comes to the transfer of our factory from Villeret to Shanghai is something that will not occur again this year. Although having said this, of course, costs related to M&A and so on will remain. So if you look at those categories, we provide quite a lot of detail. I think it's a fair assumption to say that 2026 will be a little bit more of the same as in previous years, but not in 2025, where we did all of those projects I just talked through. And then I think CapEx, I think it's important to understand that in the last 4 years, we invested over CHF 1 billion into our manufacturing capacity. Having said this, with the finishing Curitiba 3, we will have doubled our capacity for implants. And this means for the rest of the cycle, we will step down significantly in terms of CapEx intensity, so meaning CapEx over revenues. So you can already expect the first step down more towards the level of 2024, 2023, a mix of that in this year with the Curitiba finishing and then a further step down in 2027.
Operator: The last question for today's call comes from Falko Friedrichs from Deutsche Bank.
Falko Friedrichs: My first question is whether you expect China to see similar sales declines in H1 as it was in the fourth quarter? And my second question is, do you foresee a return to high single-digit growth in North America in 2026?
Guillaume Daniellot: Sorry, the first one. Could you say again the first one on China, Falko, please?
Falko Friedrichs: Do you expect the first half of 2026 to see similar sales declines in China compared to what you saw in the fourth quarter?
Guillaume Daniellot: First half. No, not to the same extent. We don't think so because we believe that some of the destocking has already happened on the distributor side. But again, it will still be then quite lower than 2025 first half because of the fact that the growth was very significant. But we don't feel we will see the same trough that we have seen in Q4 than 2025. And when it comes to North America, we are not doing specific guidance per region, but I think we expect in between the high end of mid-single-digit growth to high single-digit growth being potentially possible, depending on what will be also the macro around there. But it's -- if we see the labor -- the latest news about the labor market that was rather positive. The inflation that has been just been presented at 2.4% and being also on the right side, that could help, of course, adding a little bit additional pressure on the Fed lowering their interest rate. We believe that we can have a rather positive development of the macro situation in North America that could support then a really good outcome for North America. It's still too early to say to see consumer confidence, but I think there are options for having a healthy growth for North America in 2026. Well, thank you for joining us today and for your continued interest in the Straumann Group. We look forward to seeing you again soon, and we wish you a nice day and a warm goodbye from Basel.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.